Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sapiens International Corporation Fourth Quarter and Full Year 2014 Results Conference Call. All participants are present in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded, February 25, 2015. It is now my pleasure to introduce your host, Mrs. Yaffa Cohen-Ifrah, Sapiens' Vice President of Corporate Marketing and Communications. Thank you. Mrs. Cohen, you may now begin.
Yaffa Cohen-Ifrah : Thank you and good day, everyone. Our quarterly earnings release was issued before the market opened this morning, and it has been posted on the company's website at www.sapiens.com. Representing the company on the call today are Roni Al-Dor, President and CEO and Roni Giladi, our CFO. Before we start, I would like to remind everyone that this conference call may contain projections or other forward-looking statements and the safe harbor provisions in the press release issued today also apply to the content of the call. Sapiens expressly disclaims any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in its view or expectations or otherwise. Also, during the course of today’s call today, we will refer to non-GAAP financial measures which we believe provides a clear view into the operational state of the business. A reconciliation schedule showing GAAP versus non-GAAP results was provided in our press release issued before the market opened this morning. A replay of the call will be available after the call on our Investor Relations section of the company’s website or via the webcast link, which appears in the earnings release that we published today. With that out of the way, I will turn the call over to Roni Al-Dor, President and CEO of Sapiens. Roni?
Roni Al-Dor : Thank you, Yaffa, and good morning, everyone. Thank you for joining the call on which we'll provide the business update and discuss our fourth quarter and full year 2014 financial results. In 2014, we clearly demonstrate the fundamental strength in our business model and are only the fifth position in software industry by delivering strong double-digit revenue growth. We continue to expand our operating margin by investing both in our product and sale organization, in order to reinforce condition of our business for future performance. All-in-all it was a great year for Sapiens and I firmly believe the future is even brighter. Our revenue growth which was almost completely organic came from all areas of our business, wide spread across geographic and from both new and existing customers. The demand for our product and services remained strong throughout the year across all regions. We sign new contract including [indiscernible] in life and annuity line of businesses. With the neutral insurance in Hollard, South Africa’s largest independent insurance group sign for our insurance solution and two new top deal financial institution selected decision the central application for managing organizational business logic and rules. With this contract wins we have increased our portfolio for our customer to more than 130 at the year-end, which new contract present a multi-million dollars long-term agreement for our solution and services, we are excited to partner with this premier customer along with other we signed in 2014. This new contract wins were made possible by coupling our [indiscernible] with the set of data software and services solution we proposed to meet our customer needs. Over the past few years, we have invested significantly in our technology to fuel our growth that enhancement have been well received by the industry and today we are selling mature innovative and industry leading technology. I am very proud of our progress we have made. To maintain and extend our technological lead, we continue to make update and product enhancements. During 2014, we have rolled out new version of each of our product. First, our ALIS Retirement Services Platform, our comprehensive record keeping solution for employment sponsor the fund contribution retirement plans was launched in Q2 and is generally available. After three-year of development, one of our first customer of our retirement solution has gone live and is now in production. The modular design of our solution is well accepted in the market to address both full blown replacement over phase approach. Second, we completed the technological conformation of our ALIS product and launch ALIS 6.5 is our next generation software suite. Our first customer within has gone live and is in production with ALIS 6.5. We released our last version 12.1 which is design to increase the productivity of property and casualty. With this latest release, end user experience in advanced their genomic and more intuitive interfaces that will have assured and achieved greater efficiency across the origination. With our insurance solution we introduced a major functional upgrade the general ledger account module. This module features comprehensive management of accounting aspects included P&L and balance sheet figures. Our continuous investment and innovative enhancement to our insurance products demonstrate our commitment to our customer in the insurance space. For the DECISION, we’re not launching a new release that will include new critical capability to support the DECISION flow of any process. This capability was built in response to market demand. We also integrated KPI early stage consulting practice and together these make our offering comprehensive business DECISION management solution. We made significant investment in our product line to strength our competitive position and capitalize on market opportunity. Ongoing investment is necessary in technological industry most to stay ahead of our competition and to feed our current revenue module. As you may recall earlier in this year we are restructured, refocused and realigned our first organization to place our insurance focus expert under a single business group and position them to expand our penetration in the insurance vertical market. We have enhanced our sales team to include supporting resource for marketing product support, business consulting, and profession services. This enhanced group is focused on new sale. We believe this structure along with the extent sales organization position Sapiens to manage large number of opportunities than we can previously do and increase our win rate. In addition June 2014, we have increased our marketing efforts in order to enhance the Sapiens brand. We participated in 13 leading industry event in the U.S. and Europe and also took client event in U.S. one for our life and annuity customer and one for the DECISION customer. We also hosted our first retirement services industry event which was well attended. We have updated our digital brand presence with launch of new website and enhanced presence in digital media. We have also extent our leadership with the insurance industry analysts. The combination of this industry leading solution and investment we made in our certain marketing teams enable us to increase our market penetration and drive operating cost. This investment have helped us win several new customers and successful deploy new system. This recent wins are now beginning to go live and this customer we will serve as important and valuable reference supporting future wins. When we look at our customer base, we can distinguish between those that have just selected Sapiens in the project of reproduction phases and those that have gone live and are in production. Over 130 customers are using Sapiens Solution in production is the core system to run their business. For many years now we are well closely with this customer to help them maintain their system to maximize efficiency. We support them in introduction of new capabilities or expansion to additional line of business. During 2014, we have enhanced our delivery capability and have also started to engage offshore facility. During this year more than 10 customers have gone live and move our system to production which means our solution is being used as the core operational system where they actually run their business. Network makes a go live make a go live such a major event for both Sapiens and customers. It is a major demonstration of Sapiens’ ability to deliver and of the customer ability to adopt and rollout a new technology across the organization. This is the point where this customer embraced the long-term partnership with Sapiens and its partner on their own continued business improvement. Today we have the most comprehensive offering in our company’s history with a wide range of solutions and strong delivery and scale up services. This will enable us effectively cross-sale with our existing customer base. To further enhance our product offering during quarter three 2014, we have acquired KPI the owner of the DECISION Model patent and boutique decision management consultancy firm. With this acquisition, Sapiens now offer end-to-end enterprise solution for DECISION management that is unmatched in the industry and elevate our position as a leading innovator in DECISION management space. With the integration now complete, we're well positioned to execute our sales plan for 2015. Looking ahead, the acquisition of additional product and capabilities that will complement our existing portfolio of offerings, increase our customer base and accelerate our growth, re-manage important aspect of our growth strategy. During the past six months we have increased our effort to find potential target for acquisition. We evaluate potential target against a set of performance and our IQ interior. To-date most opportunities are being rejected to valuation remained that are much higher than what we believe it is right price to pay. We remain prime and ready that execute the deal if and when we find the right one will get in our portfolio and continue organic growth we will not be rush into doing deal that does not make business and financial value for the long-term prospect of our business. In addition to our investment, we have made some general changes during the year and both additional talent to our management team. Today, we believe we have the management capacity and knowledge to support our future growth. It has been multi journey to get us where we are today, we began by increasing our R&D spending in 2014 to boost our technological lead in an enhance portfolio offering with the right solution in hand we further enhance our certain marketing organization in 2014 to introduce this product and expand geographically. The result of evident with our double-digit top-line growth and expanding operating margin. Looking into 2015, we intend to continue investing in our software product for insurance market, enhancing our offerings with the requirement functionality and business support as well as the foaming technological upgrade. This investment will ensure our front position in the insurance market maintaining superior product that contain indebt business functionality and compatibility. This market requirement as well as state of the art infrastructure. Having a wide portfolio of insurance software solution Sapiens is currently planning on implementing an analytical RBI component providing support for the entire insurance products with focusing on widening our market reach and reacting to current business trend we are looking into build a software service infrastructural module for out of insurance software product. The SaaS model in the industry is in its early stage of adoption, we believe this will further bind our customer partnership for long-term. We are also aiming that further enhance our presence in our current territories while remain focus on new Western Europe market. The fact that we have meaningfully enhance our local presence in our key territories enable us to be close to the customers that shows the long-term relations. While joining now benefit of this investment is our present in these key territories and mature. And today we have over 300 employees across U.S. and Europe. Finally, we saw our strong balance sheet, we are well positioned to pursue the right acquisition to improve our profitability, expand our industry leadership position and accelerate our growth. We continue to seek such opportunity, our living solution and our strong balance sheet enable us to meet these challenge and we are excited to build on our leadership position to select value added acquisition. I would now like to turn the call over to Roni Giladi to discuss the financials. Roni?
Roni Giladi: Thank you, Roni and good morning, everyone. The fourth quarter of 2014 was another strong quarter for Sapiens. We achieve the new height of quarterly revenue of $41.8 million and we conclude the year with a non-GAAP operating margin approaching 11.9%, the fourth quarter renewal of prudential improvement in our operating margin. I would now like to go over our quarterly results in detail. Revenue in the fourth quarter was another record setting $41.8 million, up 15.4% from the fourth quarter of 2014. Our revenue for the quarter by type breakdown as follow; license revenue totaled $2.4 million or 5.8% of total revenue during the quarter compared to $4.3 million or 11.9% of total revenue in the fourth quarter of last year; services revenue, which include maintenance revenue, grew to $39.3 million or 94.2% of total revenue during the quarter, up from $31.9 million in the fourth quarter of last year. This mix was a bit more weighted to services than the expected. And we anticipate the mix shift and a bit more to license revenue in 2015. The size and quality of our caring pipeline coupled with our self-investment in key markets like the U.S.A and Europe support our confidence in the expected calibration of our mix in 2015. As always our business model is licenses and services around our product. This model enable us to be close to our customer for a very long-term. The long-term stickiness of the relation with our customer allow us to present a solid, high confidence and visible financial plan. As we expand our revenue from existing customer, we mostly increase the services revenue. Let me now turn to the geographic breakdown of our revenue. In North America, revenue for the fourth quarter totaled $13.6 million or 32.5% of total revenue; in Europe, which includes our Israeli sales, revenue totaled $23.1 million or 55.3% of total revenues; revenue in APAC totaled $5.1 million this quarter or 12.2% of total revenue. To-date almost 88% of our revenue are coming from our growth markets in North America and Europe. Which is revenue growth across all segment of our businesses and across all geographic regions. Our Q4 revenues impacted by the [original] foreign currency exchange rate versus the U.S dollar. If we eliminate the negative impact of exchange rate in the fourth quarter compared to the average exchange rate of the for the nine months of 2014 our revenue will be higher by approximately $2 million representing 21% of growth compared to Q4 of 2013. We will discuss the impact of currency on a full year basis when we discuss our guidance later on. With that said I would like to turn to profitability analysis. Our non-GAAP gross profit for the fourth quarter of 2014 was 17.5 million, up 2.6 million compared to the fourth quarter of last year. Gross margin was 41.8%, up from 41% for the fourth quarter of last year. We managed to expand our gross margin as we moved through the year. Our overall operating expenses increased this quarter and totaled $11.5 million compared to $10.2 million of last year, increase of $1.3 million or 12.9%. The increase in operating expenses was mainly due to increase in sales and G&A expenses while our R&D expenses remained at the same level. Our non-GAAP operating income for the fourth quarter of 2014 increased by 31.9% to $5 million from $3.8 million in the fourth quarter of last year. Non-GAAP operating margin this quarter was 11.9% of total revenue compared to 10.4% of last year. As we exit 2014 we're at the lower end of our expected range for 2015. I will discuss our full 2015 guidance shortly. Our adjusted EBITDA this quarter totaled $5.4 million; an increase of 26.9% compared to $4.2 million in the fourth quarter of last year, and reflect 12.8% of total revenue for the quarter. Up from 11.7% for the fourth quarter of last year. We calculate adjusted EBITDA in a conservative way adjusting it also for capitalized internal use of the development cost. Please see our PR for detailed explanation. Our tax benefit this quarter was $3,000 compared to tax expenses of $625,000 in the fourth quarter of 2013. The main reason for the low tax rate was reflecting today the tax benefit of one of our division carry forwarded losses from previous year which can be materialized in the near future. In addition we're starting to benefit from additional tax incentive in our Israel tax regime for one of other division. This tax benefit was offset by our ongoing global tax expenses. We expect our consolidation blended tax rate for 2015 to be in the range of 15% to 17%. Non-GAAP net income for the fourth quarter of 2014 was $4.9 million or 46.1% increase compared to $3.4 million in the fourth quarter of last year. EPS for the quarter was $0.10 per diluted share compared to $0.07 per diluted share in the fourth quarter of last year an increase of 35%. Turning to the full year results for the 12 months ended December 31, 2014, we improved our financial results in most of our product maintenance. Total revenue was $157.5 million up 16.3% compared to $135.4 million in the prior year. Our revenues were in line with our guidance range reaching the high end of our range as we anticipated last quarter. Total non-GAAP operating profit in the full year was 17 million compared to 14 million in 2013, a growth of 21.1% year-over-year. Non-GAAP operating margin was 10.10% for the full year compared to 10.4% in 2013. I would like to emphasize the fact that we steady increased our operating margin throughout 2014 from 10% in Q1 to 10.4% in Q2 to 10.9% in Q3 to 11.9% in the fourth quarter of this year. Our adjusted EBITDA for 2014 totaled 18.6 million an increase of 21.5% compared to 15.3 million last year and reflect 11.8% of total 2014 revenue. Non-GAAP net income for the 12 months totaled 16 million up from 14 million for the full year of 2013. Turning to our balance sheet, as of December 31, 2014, we had a cash and cash equivalent and security investment of approximately $80.5 million. From a cash flow perspective, we generate 21.6 million in cash from operating activities in 2014 significantly stronger than the 17.3 million in 2013. Our strong cash position and cash flow generation will allow us to pursue and execute our M&A strategy to improve our gross profitability and EPS and additional other initiatives. Now let me turn to 2015 guidance, we are projecting 17% revenue growth on a constant currency basis, based on the currency exchange rate and the negative impact this year has on our revenues the projected revenue would result in approximately $174 million to $178 million. As our profitability, we expect fairly operating margin expansion driven by investment we have made over the last year. Those investments included significant R&D effort in starting last year significant increase in our research investment. We are committed to continue with our R&D investment going forward and increase our investment in absolute dollar yet our investment in R&D as a percentage of total revenue will be at lower level. In addition we are planning to reduce our labor cost by starting to implement offshore capability. As a matter of fact at the end of 2014, we started to build a team in Eastern Europe, which is close to our European customer to support our growth in a cost effective manner. In addition this year we are planning to add to this capability offshore support in other lower cost countries such as India. We expect that this initiative will start to have partial result during 2015 and expand in future year. This year we are also providing guidance related to our expected operating margin. Taking the above into effect, we expect our operating margin to be in the range of approximately 12% to 13% for the full year. At this time, I would like to the call back to Roni Al-Dor for closing comments. Roni?
Roni Al-Dor: Thank you, Roni. By all accounts 2014 was a very great year for Sapiens. We consistently deliver top line growth while making disciplined investment decision for the long-term health of our business without comprising margin improvement. We are listening to market demand to continually evolve and improve our product in order to expand our customer relation and capture incremental market share. I look forward to providing you with additional update throughout 2015 as we continue to execute on this strategy. I would like now to turn the call over the operator for Q&A. Operator, please poll for questions.
Operator: Thank you. Ladies and gentlemen at this time we will begin the question-and-answer session. [Operator Instructions] The first question is from Bhavan Suri of William Blair. Please go ahead.
Bhavan Suri: Nice job on the numbers there and obviously on a margin expansion, I guess my first question just a touch on the overall product, you talk about sort of chasing some large deals last quarter in retirement services and hoping to close one or two of them in ’15 nay update on that and sort of how the retirement services opportunity which is a significant opportunity is progressing?
Roni Al-Dor: As we mentioned also and the past we are complete our investment in this product, we are just update say one of our customers gone live in one of the company eligibility. We are still talking to potential client and as we say we believe that we have a good chance to close deals this year.
Bhavan Suri: You say gross margin expand nicely in ’14, what drove that expansion and I know you're moving some of the customer service to India, but how you think gross margin look like for ’15 too?
Roni Giladi: So, as we see gross margin expanding to several quarter we always mentioned that our gross margin for our product are basically steady except of the life and pension area and during the year we saw improvement on quarter-after-quarter from this vertical and we continue to see results in 2015 as we finish our plan going forward. In terms of profitability going forward, we implement as we mentioned partial capability in Eastern Europe this have smallest act in 2014, we hope to integrate in 2015. The India part probably will come into effect in mid-year and potentially it will take us also for future year ’16 and onwards.
Bhavan Suri: And then despite giving gross margin expansion and nice operating margin expansion, the license number was down in Q4. Now obviously DECISION is term licenses historically you saw perpetual, can you give us like a normalize or some sense of what growth would have been in a normalize fashion or is that too hard to do on the licenses?
Roni Al-Dor: Yes, we see the reviews in the license part during this quarter and even also previous quarter. This is coming to effect with several points; first of all is we get expense additionally to walk with our customer and how to deal with our product, obviously as we recognize the revenue over the period of time of the implementation this is delaying some of the service for future until we go live this is number one. Second, I think we mentioned also in the past that due in the P&C vertical with less than expected new deals to come, but we have significant improvement in terms of additional revenue from customer. This is also use the license part on this part and obviously as we continue with DECISION long-term base life and this is also effect the potential license slip out of the revenue. So this is the reason for the license. We expect obviously preventing this category all of them, I cannot elaborate about the percentage but obviously has also impact on profitability and gross margin.
Bhavan Suri: And then you touched on the SaaS business little bit, but you might cut offering a SaaS solution, which product will you start at one point and which module do you think would be the easier to stand up as the SaaS offering that could integrate with the rest of suite that might be on premise?
Roni Al-Dor: We see demand also in the P&C on the life more in the silent approach. Just to give you an example, we’ve have in the life software good offering for income protection where we are the leader in UK in this area. So company that’s are coming and once we implemented just this line of business instead of to come and buy from us for the all solution, they are looking to a SaaS model to use the previous call investment and to start to implemented. So, we have start to build, it's not just technologies around the business model and how to finance it, this is a new area that we see demand, we also see another demand on the close book the run-off business that we’re also in this business and it also -- we see a demand from customer. So again it's in almost all in [indiscernible] product. We don’t think that will be a major place in 2015, but I hope to see one or two client that we can see.
Bhavan Suri: And then one last one for me, as you look at the marketing spend that you spent this year, do you think that remains level in ’15 or do you think that is down along with R&D?
Roni Al-Dor: No, as a matter of fact we’d like to continue to do the investment in the sales marketing. So, we expect that at least the percentages we have right now potentially even further but at least percentages we have today.
Operator: The next question from [indiscernible] of Needham. Please go ahead.
Unidentified Analyst: I would like to get your thoughts on the competition -- obviously as you enhance your product portfolio you are becoming more of a factor in the market both in North America and Europe. Just wanted to get a sense if you have seen any changes on the competitive side or whether from emerging players or from some of the established players in the market?
Roni Al-Dor: In the P&C, we don't see any real change [indiscernible] was strong the case we see them almost in every case, so we've seen more in [indiscernible] we see for data it's relatively small company from Bulgaria, so this is not something major change. What we just start to see recently in the life side, we start to see Oracle, we beat them twice and we don't have enough information to show it to you we know at the past Oracle both [admin] and it was very quiet in the last few years recently based on the intelligence that we have they heavily invest in the product and they are going to the market very strong competition this time so at least from the price point and also for all the investment that they have. So this is the only real new competitor we will see all the rest is the same.
Unidentified Analyst: And then Roni I know on the past you have talked about leveraging systems integrated partners, I just wanted to get a sense where you are at with building those relationships to further penetrate the market opportunity so if you could just give us some update on that front as well that would be helpful?
Roni Al-Dor: Again this is also we have a lot of discussion also few Indian company they are coming to our but again this is something that we are really see any benefit for the near future. The other area that we're doing a lot of again a lot of discussion right now it's around the DECISION product we're talking with not just to mitigate to like some boutique company or value-added services that we can combine with them. So we see this is the area that we really invest all the rest at least in this point of time in the territory that we're running right now and this is our focus we don't see a real change at least in 2015.
Unidentified Analyst: Okay. And then I guess the question for Roni the CFO. Roni I am sorry if I missed this but could you quantify the FX headwind that you saw both in the fourth quarter on the revenue side and in terms of margins and EPS and then also what is embedded in the expectations for fiscal '15?
Roni Giladi: Yes, so the effect of the currency change on the revenue and profitability for the fourth quarter I think we mentioned the revenue side was an additional $2 million potential revenue assuming that the average of the first nine months instead of same. On the profitability there is no impact zero I would like to elaborate on this because we do not have a real match between expenses and revenue in each territory, as a matter of fact we have much more cost in Israel versus the revenue that we have in Israel, so we have also gained some decreasing cost in our cost in all the vertical costs R&D in sale. And due to that the total result after reducing the revenue, the profits fairly same, so the impact on operational margin was about 0.5% due to this currency. By the way we did the same analysis for the future I mean in 2015 this also is the effect on 2015. In terms of revenue we mentioned that the potential growth assuming that the average currency rate of 2014 would stay the same Sapiens would be able to grow at the rate of 17% but due to this effect we are only reaching the level of guidance of 174 to 178.
Operator: The next question from Tavy Rosner of Barclays. Please go ahead.
Tavy Rosner: First on the guidance I mean there is quite a large difference between your underlying 17% growth rate and then the number you actually forecasting, can you just remind us what's your hedging policy how can that help to kind of protect coming revenues?
Roni Giladi: So if we analyze the currency we operate in talking about the Yen, Euro, Pound and the Shekel we're basically suffering at the range of about 10% all of them against the dollar. When we're doing the hedging we're always hedging on the profitability not on the revenue, it obviously has impact on the revenue side this will come in to effect in our profitability we’re doing the net of revenue and expenses and we’re doing the hedging, usually we’re doing this begin on the year for the full year and as we continue quarter after quarter we increase the hedging we are basically protecting between 70% to 80% of our profitability going forward.
Tavy Rosner: Okay that’s helpful. And then on your guidance for the operating margin improvement is coming from your cost cutting measure if I could call that way and how much is coming from the gross margin improvement?
Roni Al-Dor: We do not give a breakdown like this. What I concerned about the 0.5% as I mentioned earlier is coming from the currency exchange, this is on the operational margin. I would say up to 1% is also coming from offshore capability we call this cost cutting, but it is less than 1% during 2015 potentially will be higher going forward. As I mentioned we’re only started in Eastern Europe and in India currently or other low cost counties we do not have, we’ll plan to do this on the midyear.
Operator: Next question is from Rich Baldry of Roth Capital. Please go ahead.
Rich Baldry: As you look to move moreover expenses in the lower cost areas, do you think there could be some restructuring around that as you move existing to positions or is this really about as you continue to grow the overall business more of your new hiring will come in those lower cost areas?
Roni Al-Dor: No, as a matter of fact we’ll see the growth in the Company and the potential on this low cost country. Only for the growth, we’re going to maintain our current staff and we’re planning to do the growth both on our current territories and potentially from the lower cost country, but continue with maintaining with our employees.
Rich Baldry: Now if you look at the licenses, is the mix changed as a percentage of total revenue per issue that’s coming from 13 to 14, when we look out 15, can you talk a little bit where you’d see that licensed mix versus services mix in 2015 or maybe just a long-term goal for that? And then about the quarter excel from terms of linearly, did any deal push out of 15 or out 14 in the 15 that you’ve might have skewed that number for 14 a little?
Roni Giladi: We do not provide guidance on the revenue mix meaning license services and maintenance, but obviously what we right now based on the pipeline that we have based on our current estimation we see this mix going forward. As I mentioned, we expect more deal on the [indiscernible] vertical slightly down this year, potentially DECISION as it grow we’ll benefit also on terms of license because it’s much way on the license side and bigger deals as Roni mentioned the retirement services also can influence this. So the overall trend is increased of what we have right now in terms of what is the mix I cannot provide. And I think that is.
Rich Baldry: Last on the M&A front, the expectations on evaluation little higher, is that about competitive bidding the prices up or do you think it’s more of just the asking prices are elevated but deals aren’t getting down so they’re just sort just waiting for those expectations to soften but there is a good pipeline of opportunities? Thanks.
Roni Al-Dor: So obviously what we’re seeing in this market is private equities play a significant role and with the amount of cash that they have today they’re being able to offer valuation which we think are significantly higher and therefore what we can offer or what we is the value of the Company. We are looking into play conservative and we do not want to play in any rash mode. We want play what we think is the value to the Company and also based on the Sapiens. As a company we increased the effort to do potential M&A and we’re still looking that can fill it, our pipeline recently increased, but again we’d like to play safe on that.
Operator: [Operator Instructions] There are no further questions as this time. Before I ask Mr. Al-Dor to go ahead with his closing statement, I would like to remind the participants that a replay of this call is scheduled to begin in 2 hours. In the U.S., please call 1 (888) 782-4291; in Israel, please call 03-925-5904; and internationally, please call 972-3-925-5904. Mr. Al-Dor, would you like to make some concluding statement?
Roni Al-Dor: Yes, thank you. So, thank you everyone for joining our call. We will talk you again next quarter. Thanks.
Operator: Thank you. This concludes the Sapiens International Corporation Fourth Quarter 2014 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.